Operator: Good morning, and welcome to the Fourth Quarter 2024 Results and Full-Year 2025 Guidance Presentation for Hillman Solutions Corp. My name is Shannon and I will be your conference call operator today. Before we begin, I would like to remind our listeners that today's presentation is being recorded and simultaneously webcast. The company's earnings release and earnings presentation were issued this morning. These documents and a replay of today's presentation can be accessed on Hillman's Investor Relations website at ir.hillmangroup.com. I would now like to turn the call over to Michael Koehler with Hillman.
Michael Koehler: Thank you, Shannon. Good morning, everyone and thank you for joining us. I am Michael Koehler, Vice President of Investor Relations and Treasury. Joining me on today's call are our newly appointed President and Chief Executive Officer, Jon Michael Adinolfi or JMA as we call him, Rocky Kraft, our Chief Financial Officer and Doug Cahill, our Executive Chairman. Before we begin, I would like to remind our audience that certain statements made on today's call maybe considered forward-looking and are subject to the safe harbor provisions of applicable securities laws. These forward-looking statements are not guarantees of future performance and are subject to certain risks, uncertainties, assumptions, and other factors, many of which are beyond the company's control and may cause actual results to differ materially from those projected in such statements. Some of the factors that could influence our results are contained in our periodic and annual reports filed with the SEC. For more information regarding these risks and uncertainties, please see Slide 2 in our earnings call slide presentation, which is available on our website. In addition, on today's call, we will refer to certain non-GAAP financial measures. Information regarding our use of and reconciliations of these measures to our GAAP results are available in our earnings call slide presentation. Please note that Hillman expects its 10-K to be filed with the SEC on Thursday of this week. With that, Doug will begin today's call with a recap of Hillman's 2024 results and highlights. He will then turn the call over to JMA, who will give a brief overview of his perspective on Hillman and what makes this company so special, provide some market commentary and talk about our outlook for 2025. Rocky will then go through our 2024 financial results before giving a detailed walk through our 2025 guidance. JMA will then give some closing comments before we open things up for your question. With that, it's my pleasure to turn the call over to our Executive Chairman, Doug Cahill. Doug?
Douglas Cahill: Thanks, Michael. Good morning, everyone and thank you for joining us. During 2024, our team's dedication to our customers and our commitment to driving strong financial results for our investors came together to deliver an exceptional year for Hillman. Last January, Hillman celebrated its 60th anniversary marking six decades of taking great care of our customers and building on our robust legacy of service, a legacy that still drives how Hillman does business today. Hillman has differentiated itself from competitors by providing unparalleled service, building deep supplier and industry relationships and providing innovative solutions for our world-class customers. This has been a key driver of Hillman's track record of growth and why we believe we were in a great position with our company and our customers as we look to the future. During 2024, Hillman accomplished something it has never done before. The Hillman team won Vendor of the Year awards in the same year from both Home Depot and Lowe's, our two biggest customers. We couldn't be more proud. This recognition is not just a reflection of what we've achieved, it's an indication of how deeply embedded we are with our customers. We believe that our customers view us as trusted partners and solution providers. Our teams have done a phenomenal job managing these relationships and they are working hard to ensure that we deliver value each and every day at each and every store. These awards highlight a year where we saw the highest EBITDA in our company's history as we continue to run our business well and take care of our -- great care of our customers. Our record bottom line proves that our unique business model can produce healthy profits even with market conditions like we saw last year. On the M&A front, we made two accretive bolt-on acquisitions. In January 2024, we acquired Koch Industries, a provider of rope and chain related hardware products. And in August 2024, we acquired Intex DIY, a supplier of wiping cloths, consumable rags and cleaning textiles. These acquisitions complement Hillman perfectly. They are an adjacent house to what we sell today and our teams can service these products at the shelves of our customers. Both acquisitions offer organic growth opportunities as we put more stuff on the truck while providing new white space for Hillman to grow. We can now offer our customers even more solutions. What a competitive advantage it is to buy a company and on day one open new growth opportunities for those companies as they now have the Hillman Moat behind them, in store service, direct ship capabilities and deep relationships at all levels to the best retailers in the industry. We become really the preferred buyer of those assets from both the seller and our customers' perspective. Now let's turn to our financial highlights for the year. For 60 years, Hillman has provided products used in repair, maintenance and remodel projects done by DIYers and Pros. Despite market softness during 2024, net sales totaled $1.473 billion which is just shy of our '23 results and just above the midpoint of our most recent guidance. For the year, our top line was obviously impacted as foot traffic and our retail customers declined nearly 6% compared to last prior year. Existing home sales again fell to 30 year lows totaling just $4.06 million and remodel spending declined year-over-year. This led to a five point reduction in our market volume in 2024. Offsetting the markets was a four point contribution from Koch and Intex, two great acquisitions we made during the year and two point contribution from new business wins as we continue to win market share. Price was a 1% headwind for the year. For the fourth quarter, our adjusted EBITDA increased 3.5% to $56.3 million which was right in line with our expectations. Adjusted gross margins improved 390 basis points to 48.1% for 2024 compared to 44.2% during 2023 and 43% during 2022. Driving our improved bottom line and gross margins were sustained operating efficiencies, lower cost of goods sold and a shift in selling a higher margin mix of products. As JMA will expand on in a few minutes, I believe we are running the business as well as we have at any time in my tenure at Hillman. Additionally, in 2025, we're implementing performance based equity compensation for our top executives using a return on invested capital metric. This led 50% of their annual equity grants to return on invested capital going forward. Now let me give you a few comments on the performance of our two largest business. Hardware and Protective Solutions or HPS is our biggest business. HPS increased its adjusted EBITDA by 23% for the year with flat top line results and continues to be the poster child for the Hillman Moat and the value we bring to our customers that others don't. Our Robotics and Digital Solutions business will be a great example of both our shareholders and top customers benefiting from the new strategy we successfully launched during 2024. RDS has always been the leader for Hillman in adjusted EBITDA margins and gross margins, but the capital we have invested and the returns on that capital have been a drag in our performance. JMA will expand on our strategy and share whether this business will become a great contributor of not only adjusted EBITDA and gross margin, but cash flow too, which will drive healthy return on invested capital as our strategy plays out. I love this company and I'm honored to have turned the CEO reins over to JMA. He is the perfect fit for this experienced team and customer first culture that we have built over many years at Hillman. I'm proud of the great job we do for our customers, our track record for bottom line growth and how we have strengthened the balance sheet and paid down over $900 million of debt in the past four years. I will continue to support this company any way that I can. And with that, it is my pleasure to turn it over to JMA.
Jon Michael Adinolfi: Thanks, Doug. I'm grateful for the opportunity to be the sixth CEO in Hillman's 60 year history. When I look around Hillman, I'm excited and encouraged about the future. I'm surrounded by a fantastic leadership team and talented folks throughout our organization. We have world class customers who trust us and are true partners, and we have excellent long-term suppliers. Hillman is a great company, and I'm fired up about the future. Doug and I are fully aligned on the path forward, and we see a clear opportunity to accelerate growth. When I think about our strategy, our customer relationships and the unique competitive moat that defines Hillman, we have challenged ourselves to profitably grow this business to $2 billion in net sales over the next three to five years. The question is how do we get there? Well, here's how. First, we remain laser focused on growing and protecting the core of our business. We will continue to take care of our customers and win new business, which will add 2% to 3% top line growth per year. We also expect to see the markets return to 2% to 3% volume growth in the future. Together, new business and market growth coupled with price results in organic top line growth of 5% to 6%. This follows the trend we have seen over the last 20 plus years. But to get back to this level of growth, we need the macro environment to improve and market growth to return. Beyond organic growth, strategic acquisitions will play a critical role in scaling our business. Our plan is to execute two to three acquisitions per year. These acquisitions will complement our moat, strengthen our competitive position and create opportunities for long-term organic growth and value creation. This company has executed over 35 transactions in its history, and we know how to do it well. As Doug pointed out earlier, our moat and our experience make Hillman a great buyer. We have the right focus, the right team and the right strategy. We have executed well and we've built a strong foundation for the future. As we position Hillman for its next 60 years of growth, we have accelerated our focus on technology and are implementing plans to leverage the cloud and artificial intelligence to make our company more effective and efficient. This will allow us to take better care of our customers, improve how we do business and further strengthen our relationships with our partners. In 2025, you will see us continue to invest in our cloud migration. We are confident that an investment like this is necessary when you have over 111,000 SKUs and ship to nearly 30,000 retail locations annually. We are excited about this migration as it will make Hillman easier to do business with and strengthen our moat. Speaking of, let me take a few minutes to give my perspective on the Hillman moat. The first piece of our moat is our 1,200 field sales and service folks. Our customers can trust that Hillman's Warriors will be in their stores, writing orders, organizing aisles and servicing our kiosks on a regular basis. This not only enables our retailers to sell more products, it reduces their in-store labor issues for critical categories within the store. These are examples of value adds that you get when you do business with Hillman. The second part of our moat is our ability to ship store direct. We pick, pack and ship approximately 65% of what we sell directly to the retail locations of our customers. That means the majority of our products bypass the DC networks of our customers and are shipped directly to our retailer stores. Importantly, with high fill rates, our customers can trust that Hillman's products will arrive at their stores on time and in full. The third part of our moat comes from our 60 years of experience. Our customers don't just buy products from us, they buy solutions. They look to Hillman to help them manage a category. We have insight to data that allows us to optimize category management, remove complexity and drive results for our customers. That makes Hillman a trusted partner. Approximately 90% of what we sell are company owned brands. Hillman's brands are well known among the DIYer and Pro. When you buy a Hillman product, the end user knows it's great product. Additionally, distributing brands that we own allows us to differentiate our offerings, often tailoring programs and packaging to meet the needs of our customers. Lastly, we have long standing relationships with our customers. We've been working with our top five customers for nearly 30 years on average, and they're viewed as a partner rather than just a supplier. Over time, we've built great relationships throughout these world-class organizations. This includes the associates in the store, store managers, merchants and leadership. Together as partners, both companies are 100% aligned on selling and satisfying the needs of the end user. Before I turn it over to Rocky, let me give you my view of the market. Over the past few years, we've proven that we can successfully navigate a challenging macro environment while still growing our bottom line at an average clip of over 7% per year. It makes sense how the macro hasn't helped, considering the pull forward of home improvement activity during COVID pandemic, the sharp decline in existing home sales and the decrease in home improvement spending over the last few years. During 2025, we're hopeful that home improvement activity start to pick up. That said, we aren't going to predict with the market turns, but we like our customers will be ready when it happens. And our customers believe that when it does turn, that run will last for several years. That said, even if the market looks like it did in 2024, we are confident that our business will grow in 2025. The HPS business is solid and stable in both good times and bad. Throughout 2024, we've enhanced our global supply chain and continued transitioning sourcing volume out of China into Vietnam, Taiwan, India and other countries. This strategy combined with the investments into our infrastructure has enabled Hillman to build an even more efficient distribution network that is ready for growth. Our sales and service organization has never been stronger. Throughout 2024, we've aligned our U.S. Retail Leaders and our sales and service teams under Brett Hillman. Brett is the grandson of our Founder, Max Hillman, and has been taking care of our customers at Hillman for over 20 years. Brett has excelled at every level and has grown our business meaningfully throughout his career. He has assembled a fantastic team and implemented new strategies, which are already making an impact. Together, our sales, operations and other support functions are primed for 2025. During the year, we are launching new business in both our core HPS product categories as well as our newly acquired product categories from Koch and Intex. We have secured new business wins in Power Screws rope and chain, work gear and several other areas that will get us back to growth in 2025. Turning to RDS. With our MinuteKey 3.5 strategy in place, we believe that RDS will return to growth in 2025. Let me tell you why. First, we have a new leader, Scott Moore, who took over as President of RDS last year. He's done a great job executing our MinuteKey 3.5 rollout ahead of schedule and has breathed new life and renewed energy into our RDS teams. Second, both of our top two RDS partners have agreed to have our MinuteKey 3.5 machines in all their stores across the country by the end of 2026. These machines feature enhanced capabilities like the ability to duplicate smart auto fobs, auto transponders, RFID fobs and also have the endless aisle. All of these new machines will have credit card readers, allowing the customer to complete transactions quickly and easily right at the kiosk. Our customers love our kiosks, and our revenue sharing arrangements allow our customers to collect regular payments from Hillman without having to deploy capital or any resources in their stores. These two customers have made the decision that Hillman is their partner for both manual and full service keys. They rely on us to grow the business, and so far we are. Our MinuteKey 3.5 machines are generating a healthy lift in revenue versus MinuteKey 3.0, and that is before Hillman and our world-class customers will be aggressively going after this new market together. On the manual side of key cutting, we continue to have great engagement with ACE. Their full service approach to key cutting continues to be a differentiator for their business. The Hillman mode adds tremendous value to the complex segment of manual key cutting. And lastly, we have sharpened our focus when it comes to RDS capital. As Rocky talked about on the earnings call last quarter, we are approaching our investment into RDS more prudently with a focus on generating attractive returns on invested capital. Because of this, we will not invest capital to build or upgrade machines where we don't expect to see a return on investment. As a result, we expect to see some attrition with customers outside of our top three RDS partners, which are Lowe's, Home Depot, and ACE. We expect RDS related CapEx will peak in 2025 and will decline by about $20 million in 2026 as we complete our MinuteKey 3.5 rollout. Once we have fully deployed capital for the rollout, we expect RDS alone to generate around $50 million of free cash flow on an annualized basis. Now let's take a step back and reflect on how we've executed over the last few years. During 2023, we did a great job normalizing inventory levels, paying down debt, executing sizable new business wins and setting up Hillman for streamline operations. Last year, we saw our investments into operations pay off as we took great care of our customers, delivered improvements in our global supply chain and executed two M&A deals. This year, we will continue this momentum. We will return to growth as we leverage the Hillman mode to win new business and execute M&A. With that, I'll turn it to Rocky to talk numbers.
Robert Kraft: Thanks, JMA. Before I get into our guidance for 2025, I'll provide a summary of our fourth quarter and year end results. Fourth quarter 2024 net sales increased 25% to $349.6 million versus the prior year quarter. 2024 full-year net sales totaled $1.473 billion, which is down slightly versus 2023 and came in slightly above the midpoint of our revised guidance range. 2024's top line was the result of a four point contribution from Koch and Intex, a two point contribution from new business wins, offset by a 1% headwind on price and a 5% headwind from market volumes. Fourth quarter adjusted gross profit margin decreased 50 basis points to 47.7% versus the prior year quarter, which was in line with our expectations. For the full-year 2024, adjusted gross profit margin increased 390 basis points to 48.1% from 44.2% during 2023. Our gross margin improvement for the year was the result of improved operating efficiencies, lower COGS and a higher margin mix of products sold. Q4 2024 adjusted SG&A as a percentage of sales decreased to 31.5% from 32.5% during the year ago quarter. For the full-year 2024, adjusted SG&A as a percentage of sales increased to 31.6% from 29.5%. The quarterly decrease was due to our standard employee bonus expense accrual, which was larger in Q4 2023 compared to Q4 2024. The annual increase was the result of 2024 standard employee bonus expense in the aggregate and IT expense, which were both greater in 2024 than 2023 as well as the true value charge, which I will touch on in a moment. Adjusted EBITDA in the fourth quarter increased 3.5% to $56.3 million which was right in line with our expectations. After dialogue with the SEC, we revised our presentation of adjusted EBITDA to include the $8.6 million write off of receivables from True Value, which was previously excluded from our adjusted EBITDA figures. The charge resulted from True Value's Chapter 11 filing in October of 2024, the details of which were fully disclosed in our Q3 earnings call. The majority of this impacted our third quarter and therefore our full-year results. The impact on the fourth quarter was minimal. That said, our adjusted EBITDA for 2024 increased 10.2% to $241.8 million which includes the $8.6 million charge from True Value. Our adjusted EBITDA to net sales margin during the quarter was 16.4%, which compares favorably to 14.9% a year ago. Now let me turn to cash flow and the balance sheet. During 2024, operating activities generated $183 million of cash versus $283 million in 2023. Remember that during 2023, we had an outsized working capital benefit as we were able to reduce our net inventories by over $100 million throughout the year as we returned to normal inventory levels following the supply chain disruption from Asia. Capital expenditures for the year were $85 million compared to $66 million in 2023. The increase relates to the accelerated rollout of MinuteKey 3.5 and continued rollout of the new fastener set at one of our major customers. As JMA discussed, we are taking a measured and prudent approach to our CapEx investments. As you will see in our proxy statement later this year, we are introducing performance shares that use return on invested capital as a metric to determine our executive team's equity compensation. We believe this aligns well with our shareholders' interest and will be beneficial over the long-term. Free cash flow for the year totaled $98.1 million versus $172.3 million in 2023. Free cash flow came in a bit below our expectations, which was impacted by CapEx and our soft top line. During the year, we used free cash flow to pay down $48 million of debt and to fund the acquisitions of both Koch and Intex. We ended 2024 with $674 million of net debt versus $722 million at the end of 2023. Subsequent to the end of the quarter, we repriced our term note, lowering the interest rate margin by 25 basis points on our borrowing cost, which now sit at SOFR plus 200 basis points. $360 million of the term note balance is swapped to a fixed all in rate of 5.69% that runs through January of 2027. Our net debt to trailing 12-month adjusted EBITDA ratio at the end of 2024 was 2.8x, which improved from 3.3x at the end of 2023. Our long-term adjusted EBITDA to net debt leverage ratio target is to be at or below 2.5x. This leverage allows us to grow beyond M&A, invest in future growth opportunities and to be opportunistic when it comes to using our balance sheet to add shareholder value. Now let me talk about our guidance. For 2025, we anticipate full-year net sales to be between $1.495 million to $1.575 billion with a midpoint of $1.535 billion. Historically, our top line has grown about 6% annually. This consists of approximately 1% price and 2% to 3% market growth, which looks a lot like GDP and 2% to 3% growth from new business wins. The midpoint of our 2025 top-line guide includes the following assumptions. We're assuming that price is neutral for the year, a 1% decrease from overall market volumes, a 2.5% lift from new business wins and a 2.5% lift from the Intex DIY acquisition, which closed at the August 2024. To unpack our price assumptions for 2025, we expect that price will be a headwind of about 1% during the first half of the year based on the roll forward of price givebacks that went into place in 2024. We continue to recover our costs closely. [Technical Difficulty] from Asia, outbound freight, rents at our distribution center, the cost of labor, I could go on and on. None of these costs are going down in our business. And we must think strategically about how and when we can offset those costs. Our 2025 net sales figure will be closely tied to our customers' performance, which is predominantly driven by their sales. Securing new business wins coupled with the overall health of the customer, consumer, repair and remodel activity and existing home sales as well our outcomes. For our bottom line, we expect full-year 2025 adjusted EBITDA to total between $255 million and $275 million. The midpoint of $265 million represents an increase of about 10% versus 2024. We expect our full-year adjusted gross margins to come in above 47% for the year. Lastly, free cash flow during 2025 is expected to come in between $90 million to $110 million with a midpoint of $100 million. Impacting our free cash flow expectation for the year is $90 million of CapEx, which is elevated due to the expansion of our MinuteKey 3.5 fleet and fastener racking at one of our major customers. We expect that we will end 2025 around 2.2x levered. This assumes we fall near the midpoint of our guidance and does not include any impact of M&A. During Q1 of 2025, we expect free cash flow to be negative and our leverage will likely tick up slightly as we build inventory to support our busy spring and summer seasons. This is typical for Hillman in the normal year. After the first quarter, we expect to generate cash each quarter and see our leverage decline throughout 2025. Other assumptions that are factored into our 2025 guide are as follows. Interest expense up $45 million to $55 million. Cash interest up $40 million to $50 million. Cash taxes up $15 million to $25 million. CapEx, as I said previously, of approximately $90 million. Restructuring related and other expenses, we believe will total approximately $10 million and our fully diluted weighted average share count will be approximately 201 million shares. Our success managing costs and executing M&A during 2024 were big positives for Hillman. Looking forward, we look to build on this and believe that our competitive mode and long standing relationships with our customers will allow us to win. We are laser focused on getting Hillman back to growth during 2025 and look forward to updating you on our progress throughout the year. With that, let me throw it back to JMA.
Jon Michael Adinolfi: Thanks, Rocky. We are optimistic about the year. We are excited to keep playing offense. We are confident we will drive share gains and generate top line and bottom line growth during 2025. We will work tirelessly to fulfill our commitment to all of our stakeholders, which include our customers, our suppliers, team members and our investors. We look forward to updating you during the year with our progress. With that, we'll begin the Q&A portion of our call. Shannon, please open the call for questions.
Operator: Thank you. [Operator Instructions]. Our first question comes from Brian McNamara with Canaccord. Your line is now open.
Brian McNamara: Good morning, guys. Thanks for taking the questions. First, I was wondering if you guys could break out organic growth in Q4 by price and volume or just give a kind of a rough range?
Jon Michael Adinolfi: Yes. I think what we would tell you there, when you think about price for the whole business, it was pretty similar to what we saw for the full-year, Brian. So just over down 1%. And then obviously the volumes or the offset of the remainder of the arithmetic there.
Brian McNamara: Got it. And then secondly, I appreciate all the color on RDS. I guess why should MinuteKey 3.5 drive sustainable growth in RDS kind of outside this kind of maybe one times uplift we might see this year? You still have the existing home sales headwind and the like, just it's a question we consistently get from investors?
Jon Michael Adinolfi: Yes, Brian. Good morning. Great question. What we're really excited about is what it opens up. As I shared briefly and we've talked about in the past, we really believe that expanding beyond home and office, what's in the machine, plus the analyst aisle, auto fobs, transponders really opens up some new unique opportunities for us. So we're excited. We've seen, as I mentioned, some nice healthy lift, again some nice traction with the customers. So we just believe it's a better solution in the interface and the fact that we're able to help the stores be more efficient with their customers is really just is starting to get some nice traction. So we believe it is different and we've seen some nice lift for the machines we have in the market.
Robert Kraft: Yes. The only thing I would add to that, Brian, I mean, as you think about RDS, it's no different than the rest of our business and how we're thinking about the future. JMA said in his prepared remarks, we're not going to predict when housing returns, when interest rates turn, but we're confident that happens. Again, pick a timeframe, the next six months, 18 months, 24 months. And we're really setting our business up to take advantage of those tailwinds. It's consistent with what we're hearing from our large customers, quite frankly from all of our customers. And we're going to be ready and RDS is no different. We're putting in a better machine with more capabilities that are not only our customers, but our consumers love. And when that turns, not only do you have a better machine that's going to generate growth for us, but you're also going to have a tailwind. Again, not going to predict when that is, but I think it's in the next several years.
Brian McNamara: Great. And then just quickly on your gross margin assumptions for the year. I remember last May, you guys negotiated some pretty favorable container rates. I think at the time it was like 4x the spot rate. I think that rate is currently like I think the spot is like 2x that rate right now. I'm just curious like how should folks think about container rates as it's captured into your gross margin assumptions?
Robert Kraft: Yes. I mean, for us, Brian, yes, we did have a team did a great job getting good contract rates for the contract that's going to end in April of this year. We actually feel very good about where we're positioned. We will take an increase. Two things: one is for 2025, really limited impact just based on the time it turns to the P&L. Plus that, we have a really nice, I'll say flow of goods because we're heavier earlier in the year than later in the year. So we are preferred, I'll say, use, if you will, our customer of these carriers. So between those two pieces, we still feel confident we're going to have increases, which we're factoring into our strategy for this year, but on the lower end of our original range. So we feel good about where our contracts will be placed for 2025.
Brian McNamara: Awesome. Thanks a lot guys. Appreciate it.
Jon Michael Adinolfi: Thanks, Brian.
Robert Kraft: Take care Brian.
Operator: And our next question comes from Ryan Merkel with William Blair. Your line is now open.
Ryan Merkel: Hey everyone. Thanks for the questions. Just want to hear about trends through the fourth quarter, if you saw a bit of a slowdown in December. And then how is that tracking so far in 1Q? Is it kind of stable? Or are you seeing any kind of lift?
Robert Kraft: Yes, I think for Q4 was interesting to us. I mean December is always a tough month for us and everybody you cover, Ryan. So I don't know that it was that different, if you will, than November or October. It was definitely pressured. We've seen a stabilization in Q1 of this year. I'll just say that the trend that we expect to coming out of Q4 is actually playing true in Q1. I'm just going to leave it at that at this point.
Ryan Merkel: Got it. Okay. It's helpful. And then I want to ask about tariffs and, I think there's been a few developments obviously. Just talk about maybe how you handled tariffs in '09 and then will this time be any different. And it doesn't sound like you would put anything in the guidance for that. I just want to clarify that.
Jon Michael Adinolfi: Yes. So it is a situation that we talk, unfortunately way too frequently about, Ryan. It is developing by the minute almost. I mean, we were on the phone talking about at 06:45 this morning. It is something that we're going to manage it the same way we did in 2018. So, for us, we managed in 2018. We're priced at dollar for dollar. Our team did a great job executing with our retail partners. It's transactional. And as you know, we've done a nice job managing inflation and dealing with the price challenges that come out of whether it's the freight that went up and down, tariffs and the overall inflation pressure. So we feel like we've got the tools in place to manage it. We don't know where this one is going to land right now. So our teams are readying. We've got we meet on it very regularly. And when we have definition and clarity around it, we'll execute.
Ryan Merkel: Yes, thanks.
Douglas Cahill: Hey, Ryan. One of the things I would just say, this is Doug. A lot of retailers have categories that have historically directly imported and we think there's an opportunity there that we've not historically had because we've got multiple sources in multiple countries. And if you think about it from their perspective, they don't go deep on a lot of things that they directly import. So I think you're going to see with this time around some opportunities for us to pick up categories that we can add to the truck and they can get it out of their distribution center, and we can go to a different country for them if they like. But they're just not that deep in in those kinds of relationships, and we are. So I think there's going to be a bit of an opportunity this go around for us that we didn't have last time.
Ryan Merkel: Yes. That's very interesting, Doug. Thanks for mentioning that. I'll pass it on. Thanks.
Jon Michael Adinolfi: Thanks, Ryan.
Robert Kraft: Thanks, Ryan.
Operator: Our next question comes from the line of Matthew Bouley with Barclays. Your line is now open.
Matthew Bouley: Hey, good morning everyone. Thanks for taking the questions. I wanted to ask back on RDS growth in 2025. You guys were talking about that business returning to growth. Clearly, coming up on much easier comparisons, I think the business was really almost close to flat by Q4. So should you be sort of or is the expectation that you'd be turning positive on RDS as soon as Q1? Or is it going to kind of ramp through the year as you continue to ramp MinuteKey 3.5? And also, if you could add some color on the impact of the attrition that you mentioned? Thank you.
Robert Kraft: Maybe I'll start with the rate. And yes, the short answer is that we do believe, Matt, that we will return to growth even in the first quarter. Again, not -- I would tell you not what we expect to see in a year or two where we believe we get back to historic growth levels, which are kind of low-double-digits. But we would expect to be low single to maybe even mid-single-digit growth in the business because primarily of the rollout of what we're doing with 3.5 with our major customers.
Jon Michael Adinolfi: Yes. And as far as on the attrition piece of it, we actually as frame, we've got alignment with our top customers on what we're going to do this year. There is a customer in our mix where we've actually come to alignment on a better profile for us and candidly probably for -- maybe for them as well, but we've got a good path forward with them. That will add a little bit of negative pressure for the year. We still feel confident that with what actions we have in place, 3.5 rollout, which is going well, and some other initiatives that we have going on that will more than cover that up, that pressure up throughout the year. So that's about as far as I want to go on that topic.
Robert Kraft: Yes, I guess just to add a little there, when you think about what we're doing around capital and look our capitals can be up year because of the rollouts at our major customers with 3.5. But if you think about those customers that are not those major customers, we're not going to build machines and put them into situations where the payback doesn't make sense for us or the return on invested capital isn't at least at or above where the company is. And so again, we feel really good about building machines for our major customers where that return is quick and is above, I'll call it, the current corporate average. If it's not, we have to have some tough conversations and we've been having this.
Matthew Bouley: Got it. Okay. Thank you for that great color. Secondly, I wanted to touch on price again. I think you said you were still going to be comping down a point on price in the first half, but you expect to be neutral for the year. So I guess the implication, would you be expecting to be positive on price in the second half? Does that have anything to do with kind of matching tariffs dollar for dollar as you mentioned? Or just is that a fair statement that you'd be expecting positive price and sort of what drives that? Thank you.
Robert Kraft: Yes. It's an astute question. And that's why we kind of phrase it that way. Our expectation would be that we would be taking price in strategic categories in the second half of the year. And what I will tell you is that is not related to tariff. Again, if you go back to my prepared remarks, we talked a lot about all of the areas in our business where we're seeing inflation. That's kind of across the board, we believe, not only with us, but with our customers as well as our competitors. And so it is our expectation that we're going to bring some price to the market in 2025 regardless of what happens with tariffs.
Matthew Bouley: Got it. Okay. Thanks guys. Good luck.
Robert Kraft: Thank you.
Jon Michael Adinolfi: Thanks.
Operator: Our next question comes from the line of Lee Jagoda with CJS Securities. Your line is now open.
Unidentified Analyst: Hi, this is Will on for Lee. How should we think about the Canadian business both in terms of current trends in industrial production and how that could impact volumes as well as anything related to tariffs and trade war impacts? Thank you.
Jon Michael Adinolfi: Yes. Thanks, Will. So yes, Canada is certainly seeing some market pressures. We actually have some nice new business wins in Canada that's offsetting some of that pressure. So for -- from our perspective, the Canadian markets, which had a tough 2024, we're running it well. Our President runs that Scott Wright up there in Canada, doing a nice job with his team. And we're aligned with our customers, so we have some nice new business wins to offset some of the market pressure we have out there. On the industrial side, we continue to see pressure there. So that portion of the business, which we don't really break out and specify numbers on, but we've seen some pressure there. We've -- I'll say rebuilt that business over the last several years and we feel like we've got a good path forward. So Canada will see some pressure, but we feel confident in our results overall.
Douglas Cahill: Yes. The only thing I think, Will, I would add there is the one thing that we've said continuously for the last several years is the one thing we don't control is the market and we're not going to be able to. When you think about our Canadian team and what they've done, they've done a really good job of making sure that we keep the profitability in that business at an appropriate level even in the face of pretty significant headwinds from the market bigger than we're seeing in the U.S. or have seen in the U.S. So we're confident again as we think about 2025 that we've got the right people in place, the right team in Canada and they're going to perform from a profitability perspective regardless of what happens with the markets. Again, we're going to set the Canadian business up just like the U.S. business. So when that economy does turn, we can take full advantage of it. And again, we're highly confident of the team we have there today to do that.
Unidentified Analyst: That's very helpful. Thank you.
Douglas Cahill: You're welcome.
Operator: Our next question comes from the line of Brian Butler with Stifel. Your line is now open.
Brian Butler: Hey, good morning. Thanks for taking the questions.
Jon Michael Adinolfi: Hey, good morning, Brian.
Brian Butler: First one, just on the RDS, maybe to just kind of just level set everybody. When you think about the 3.5 rollout by the end of 2026, maybe as we restructured this as the top three customers, where do we stand now and how do we think about by the end of '25 and then being completed in '26? How does that rollout kind of break out between the years?
Jon Michael Adinolfi: Yes, I mean, so it is heavily -- more heavily indexed to '26. I mean, we do start putting machines in place back half of this year at a higher -- bit higher clip overall when you aggregate them together, Brian. So we feel like a nice steady flow. The machines, we did finish last year in good shape as far as actually delivering the number of machines that we put into the marketplace. So from a 3.5 perspective, we felt like we finished the year a bit ahead of where we expected to. Lowe's was well on track with where we wanted to be, and then we were going to continue to see that roll up in 2025 where we'll finish up those machines in '25 and the '26 and we'll do the same thing at the Home Depot. We don't want to really get too much too far to the granularity beyond that, Brian, but we feel good about that ramp. It'll be pretty steady '25 into '26 is the way I'd be thinking about it.
Brian Butler: Okay, that's helpful. And then on the new business, the 2.5% growth kind of looking into '25, can you give some color between where that comes from? Is that more heavily weighted towards hardware or protective or RDF kind of fitting in there with the rollout?
Jon Michael Adinolfi: Yes. I mean, the rollout is a piece of it certainly, but the heavier piece of that is [indiscernible] side of that, the hardware side of the business, Brian. We have some really exciting new products. We're actually launching some patented products in concrete screws with our one of our largest customers. We're excited about that. We also have structural screws and high performance construction fasteners that we're rolling out. So actually some nice new business in what we call CFP. So we're excited about that piece of what we got work here on the protective slot side of the business. We've got some new rollouts there that should get some nice traction. We got some good customer wins. And we're excited about growth with our major customers in a number of categories. Plus, as you've heard us talk about in the past, the broken chain win with ACE is in full flow in 2025, so we'll continue to look to build on that. And then some things that we're not ready to share in detail, but we got some nice traction around the Intex business and some new opportunities with major customers there. So it is actually across the board, Brian, pretty healthy mix that our sales team is out there driving and we're pretty excited about '25.
Brian Butler: Okay, great. And if I can get one last one, just on the acquisition environment, I mean '25, is that set up now maybe more attractive being the market being as weak as it has that you have more sellers out there, and more opportunity or how are you looking at acquisitions for '25?
Jon Michael Adinolfi: Yes. We're excited about the market. I'd say, I don't know that the market's changed that dynamically, Brian. I'll ask Rocky to add on if or Doug to see if I missed anything. But I would say right now, we've got more irons in the fire now than we did last time we spoke. We're actually pretty excited about having a couple of nice interesting deals in front of us that we think would be great compliments to Hillman and many of the comments you heard Doug and me say on this call, previous calls, where they would actually fit into our culture, product segments and adjacency with the customer. So we're pretty excited about where we are today. I just don't know the environment has changed dramatically, but we're looking at deals and we'll certainly keep you posted as we have more to share.
Brian Butler: Great. Thanks for taking my questions.
Jon Michael Adinolfi: You're welcome. Thank you.
Operator: Our next question comes from the line of Dave Manthey with Baird. Your line is now open.
David Manthey: Yes. Thank you. Most of my questions have been answered here. But as we recalibrate our thoughts on RDS, what are the implications for longer term EBITDA margin expectations? At the IPO, I think you were signaling 20% plus EBITDA margin target with much of that being driven by RDS.
Robert Kraft: Yes. I think Dave as you think about RDS, our goal is to maintain the margin rate that we have in the business, so call it 32%, 33%, 34% EBITDA rate. The nice thing about it is when you think about our core business, we've done a nice job expanding that in the HPS business, the EBITDA rate. I think our goal over the next several years would be to hang on to the rate in HPS. As you've heard us talk about there over a three to five year period, it's probably like only 1% expansion and that's really leveraging the fixed cost that we have in the business. And then what you do is you get the nice mix up because of RDS back to growth. We've had this nice margin expansion in the whole business over the last couple of years with RDS being depressed. And so that getting that business back to growth is really important for us to not only grow EBITDA, but also gross margins over the longer term. So again, we feel really confident that with that business back to growth, I'm not going to predict the year, but a 20% EBITDA rate is not out of the question when you think about that mix shift.
David Manthey: And then ultimately, it sounds like you're focused on returns on capital anyway. But based on your conversation earlier, we should assume that you would expect returns on capital to drift up gradually over time?
Robert Kraft: Yes. Well, obviously, when as we think about and you see in our proxy, we'll have some goals around what returns on invested capital are in the business. And we would expect that we expand those every year at least for the next three to five at a minimum. Obviously, looking beyond that's pretty tough from a modeling perspective. But where we're coming from and where we're going, we believe there's nice expansion in ROIC over the next several years.
David Manthey: Sounds good. Thank you.
Robert Kraft: Thanks, David.
Jon Michael Adinolfi: Thanks, David.
Operator: Our next question comes from Reuben Garner with Benchmark. Your line is now open.
Reuben Garner: Thank you. Good morning, guys.
Jon Michael Adinolfi: Good morning, Reuben.
Reuben Garner: The Rocky, you mentioned in your outlook for this year about 2.5 points of new business kind of baked into the midpoint, I believe. How much of that do you guys already have in hand from new shelf space that you sort of won over the last six months or so?
Robert Kraft: Yes. I think the way to look at it, Ruben, is basically all of that is committed. The challenge that we've seen, I would say, over the last couple of years is what's the replan associated with that business because of the market volumes. And so look, we would tell you as we sit today, we're confident that not only can we hit that, call it 2.5%, but we can be above that. The risk to it is just what happens to market volumes in those categories as we load them in. If they stay where they are or they improve, we can be -- we will be at the high end or could be even above that kind of normal 2% to 3% range. Still feel confident that the markets kind of stay where they are or soften a bit that we'll be at 2.5%. But that's the trick to our business. We control new business wins. We control price to an extent. We can control M&A, but it's really, really hard for us to control the market. So you can see, we predicted the markets this year will be down one at the midpoint of our guidance and we'll see what happens throughout the year because we just don't control footsteps that are big customers.
Reuben Garner: Got it. And then a two part question on kind of I guess, risks if tied to pricing and tariffs. So in the past and it's been a couple of few years since you had to put pricing through, there were some costs associated with some of your customers and changing the stickers out of the store. Can you remind us how much of your business that affects? How much that would cost? And then anything you guys or your customers are doing from an inventory standpoint? Are you -- you mentioned Q1 cash flow being impacted, but that was a seasonal comment. Like are you guys building inventory in anticipation of potential tariff risks? Are your customers doing anything like that? Just big picture on tariffs. Thank you.
Jon Michael Adinolfi: Yes. So I'll let Rocky add on here. But Reuben, from a cost perspective, it's $1 million to $2 million depending on how many labels we put in the marketplace. So I think $1.5 million to $2 million will be what we do. That's just for the traditional hardware channel and not every location. To answer that kind of that question there, so from an overall perspective, we'll get into that piece of it. As far as the tariffs, our [Technical Difficulty].
Operator: Thank you. This concludes the Q&A portion of today's call. I would like to turn the call back over to JMA for closing comments.
Jon Michael Adinolfi: Thanks, everyone, for joining us this morning. Again, I would like to thank our customers, vendors, suppliers, and importantly the hardworking Hillman team for their contributions. We look forward to updating you again in the near future. Thanks and have a great day. Shannon, you may now disconnect.
Operator: You may now disconnect.